Stephen Carter: All right. Good morning, everybody, and thanks very much for coming. For those of you here and for those of you who are watching on the webcast, thanks very much for giving us your time. This is the disclaimer. Vicky has given you the health and safety warning. And there's endless tea and coffee. So if people want anything during the presentation, feel free to take it.  And as a part of what we're going to be talking about today is the acceleration of our commitment to sustainability. Recycling at the beginning of the presentation is a good idea. And the knowledge and information economy is something we've been talking about for some time. It's a place where we have parked the company. And as you will see in the materials that we've published and will talk about today, it's where we see the future of the business. Driving specialization in markets where we face off against sectors and subsectors with the ability to provide a range of products and services in physical and digital form. This is a market which we believe has a lot of long-term attractive characteristics for a whole variety of reasons, not least, actually, it speaks profoundly to some of the underlying trends that are behind the march and the need for the march towards greater sustainability from economic businesses.  I thought I'd start today, for those of you with long memories, of -- or longer memories at these presentations. This is the -- a sort of shorthand version of what are the 20 questions. These, it seems to me, are the key messages and substance points from today's meeting.  The first, and I think you see this in our 2019 results, the very good news about this company is it is very strongly one company. We've put a lot of time and effort in over the last few years in building and deepening a common culture, set of values and approach, a response. And actually, when you find yourself facing a circumstance like the COVID-19 circumstance, that actually serves you very well because it enables a speed of response and an alignment of response, which often makes the difference between your ability to navigate the turbulence and your ability not to.  We had a very strong operating performance in 2019. If we weren't going to be talking about COVID-19, discussion would have been, in a sense, more enjoyably about what were the fundamental drivers behind what produced that performance in '19. And ultimately, that's what's going to serve us well because that's where the long-term value is in the business. We did well in revenue. We did, well in earnings. We had all 5 of our businesses in growth, and we did very well in cash, which actually topically is not a bad place to be either.  Our twin-track strategy of driving market specialization and improving the operational capabilities inside the business is combining very well in geographies and in markets and continues to do so. Our subscription businesses or our subscription-led businesses in advanced learning in Taylor & Francis, and in Business Intelligence in Informa Intelligence, and the parts of Informa Tech which are subscription-led businesses are performing well. They performed well in 2019. They're performing well in 2020. And that gives us a ballast of about 35% of the group's revenue, which remains robust and in markets and products that we feel good about.  Our January and February schedule in 2020 actually was fortunate in one way in our events business in that we had virtually no events to speak of scheduled in Mainland China in January and February. And so that allowed us, and we'll talk about that, we talked about it in the release, to devise at speed a postponement program, which has enabled us to learn from China, Mainland China, and roll that out in other parts of the world. The events that did trade in other parts of the world, speaking to the value of geographical diversity, traded on or ahead of plan. So in round numbers, it's about £250 million worth of events revenue that's already traded in this year to or ahead of plan.  We launched a postponement program inside our own business effectively, quietly and commercially. And to date, as I speak to you this morning, we've lifted over 110 branded events out of the first half into later in the year, about £450 million worth of revenue. We've used our scale; our reach; in some cases, our relationships; in other cases, our muscle to secure capacity to give us that optionality and we made the decision very early with the support of the Board that the right decision for the long-term health of the business was to put our colleagues, our customers and our brands first. And if that required us to spend money in order to secure capacity, provide rebate allowances for customers, communicate with our customers, the key objective was to manage the long-term value of the branded franchises that we own because that's where the future value is. We moved 2 or 3 weeks ago to a different management approach. We have a -- we've taken management controls into the center. We're running a weekly COVID executive management review process on costs, on CapEx, on operations and on the key decisions around the way in which we make prioritization on postponement and slot alignment for brands and events that need to be moved.  We've secured -- we have a very secure balance sheet. Gareth will talk about this in some depth. We made some quite significant changes last year, which are looking prescient. We pushed out most of our maturities to 2023. We have an extended RCF. We've secured an addition -- as part of the postponement program, an additional surplus credit facility. And so we find ourselves in this situation in a very secure balance sheet position.  We are proposing to confirm the dividend for 2019, in line with what we discussed at the half year at just over 7%. And on a slightly less cheerful note, the Chairman succession process is underway. And towards the end of 2020, we will see the baton passed from our current Chairman, Derek Mapp, to a successor. And that process is, as I say, fully underway.  Important for those of you who are here and for those of you who are watching to know that the position the leadership team have taken, I think, from really, the end of January, is that our objective here is to focus on the long-term value in the business. So that when the market springs back and some version of normal service returns, the test that we will have passed is the test in the minds of the customers and the communities that we serve, that we were open, we were transparent, we were quick, we had the value of their businesses, their brands and their commercial interests at heart and that, I think, will serve us well when we get to spring back.  Those are the subjects we're going to cover today. But to go back to go forward, as I'm fond of saying, let's go back to 2019, a world before COVID-19. And really, this was a strong year for our company. The numbers were strong on the revenue line, both at a reported level, and more importantly, at an underlying level, we saw a sensible flow through to profit. We had some tailwinds on earnings per share and a particularly strong performance again year-on-year on free cash flow.  We did the work on our balance sheet. We tracked down to 2.5x levered, as we undertook to do. And that allowed us to underpin the dividend. More importantly, what stands behind that was a completion of things that we'd set out to do for ourselves. We saw Informa Markets operate for one full year as an integrated business in all of the geographies of the world. And despite the topical challenges that we faced in 2019 in Hong Kong with the civil unrest, which was significant, and the continuing drag from fashion, fashion portfolio where our GAP program is really beginning to have some traction, we still managed to deliver growth rates in the 4.3% area.  In Informa Connect and Informa Intelligence, both those businesses stepped up to a level of growth that we were pleased with. And within Informa Intelligence, we did some sensible portfolio management to come out of businesses we didn't see as part of our long-term plan and doubled down on businesses where we believe we are well suited for longer-term growth.  We gave birth to Informa Tech, the most evident manifestation of our market specialist strategy, where we are building a business that faces off against that market in events, in media, in conferencing, in training, in data, in information, in research, in consulting. And that surround-sound service offering to a single market is a model that we will seek to expand elsewhere.  And serious credit to our colleagues in Taylor & Francis, which is facing a market, which we've discussed often, where we're seeing significant change in customer preferencing, in access, in pricing, in the way in which commercial contracts are negotiated and in the way in which content is developed and validated. A very strong performance from Taylor & Francis in the full year and particularly in the back end of the year, giving us a real confidence going into 2020.  The cash flow, I think, and the cash conversion, the cash generation is -- has long been a bellwether of the business. It's a feature of the business model in all of our businesses. It's become an operating discipline of all of our businesses, and it's what has allowed us to take our leverage back down to 2.5x and maintain our dividend growth on the rate that we have done over the last few years.  This slide will be familiar to you, but we've changed it slightly because we thought it might be more relevant to the backdrop to today's discussion. On the left-hand side, my left-hand side, we look at our portfolio by -- this is through a revenue lens, by geography, and on the right-hand side, by type. And essentially, what it says is that 1/3 of the business is subscription-related, 2/3 of the business is events-related. Although within events-related, there are revenues other than just space revenues. You've got media revenues. You've got some data revenues. You've got some sponsorship revenues, but they're broadly revenues that are sold off the back of a physical-event product. And then on the right-hand side, you see the strength of the business in North America, the scale of the business in Mainland China and -- combined with Hong Kong, and then the distribution of the business around the rest of the world. And actually, particularly in the case of COVID-19, where it is not the same circumstance in every geography in the world, that geographical diversity is also proving to be short-term helpful.  So how have we responded to the reality of COVID-19? Well, it landed in our commercial lives in the week leading up to the decision by the Chinese government on the 23rd of January. We put in place an action plan as to how we would respond to it. We took as our guiding principle that our primary priority would be the well-being of colleagues, customers and markets because this will pass. And when it passes, we want to come out the other side in a position where our brands and our reputation externally and internally is in good order.  We are following government and health authority advice in the markets in which we trade. We're not writing our own policies. We are being guided by the relevant authorities in the markets in which we trade. From a colleague perspective, we have put in place a management discipline on most of our cost structures, which is giving us clear visibility of where we are in control, where we are spending and where we need to double down in order to secure future capacity and some very proactive controls on cash and on cost. From our customers' point of view, we've made multiple decisions in multiple markets about when to call for postponement, when to shift, how to conduct that, what does that mean for cash and refunds and communication and market value.  As a practical matter, as I stand here today, I think we have only canceled 3 events. So in terms of revenue that we knew about in 2020, when we open the doors on January 1 that we know will not be coming, it's actually a de minimis number. We have lifted and shifted circa £450 million worth of revenue in the postponement program. There is a question, which I'm sure we'll get to, about how much of that £450 million of revenue will recur. Will there be a dilution effect? Will there be a delay effect? Will there be a decay effect? Will people never want to get on an airplane ever again in their life effect? And you've got to make your own judgments about that. But the judgments that we've made is that the reason why these are valuable franchises is because they contribute to our customers' ability to trade. So our objective is to maintain the long-term relationships and the long-term value of the products.  We have in some markets gone to a model whereby we trade the event, but we move it to a highly localized event. So we either screen out international travelers in total or we make it only a local event. We have, in some instances, gone to a virtual event, where you can turn the product into a purely digital event short-term rather than rely on a physical gathering. The net consequence of all of that has put us in the position that we've laid out in today's announcement, which in summary, looks as it laid out -- is laid out on this chart. 100 brands that have run successfully so far already in 2020, mainly in January, February and early March, although there are events running through April, May and June in parts of the world, either because they're highly localized events or because there are no control measures in those localities. We've got 45 large-scale events, large-scale events for us are brands that are revenues above £2 million, that we have lifted and moved, and then there are about 70 smaller events. And then there is about 13 events that fall broadly into the category of rephased, postponed or canceled. And within those, some of those are biennials where, in a sense, it was easier to make the decision just to lift them out of '20 and move them into '21.  The customer response to where we are today has actually been very reassuring on 2 levels. Firstly, where we have been open and transparent, we've been rewarded by customer feedback that has been very welcoming of that. And secondly, it has consistently underscored the fundamental value of the trade show as a product, particularly for smaller players in markets or innovators in markets. For the larger players, in a sense, it's easier to take a pass for a year. But for the smaller players, which make up most of our business in most of our trade shows, it's the route to market. It's how you sell. It's how you distribute. It's how you get distribution. It's how you see your customers. It's how you work out how to price. It's how you see where your competitors are. And actually, it's been very reassuring for us to see the depth of that validation. The next two charts, I'll leave you to peruse. It just tries to bring to life what the lift and shift looks like in revenue. And we've broken it out by China, by the rest of the world and by our subscription-related businesses. Our subscription-related businesses, which, if you like, is the underpinning ballast of the group at the moment, is trading on plan, and in some instances, ahead of plan. And for both the first half and the second half, as these two slides make clear, we assume that it trades on normal seasonal patterns, and there's no indication on our forward subscription numbers of any change there.  January and February in our events business has already traded on or ahead of plan. So really, the pinch point is around a judgment about what happens between March and let's pick a month, July or August. And our approach at the moment is we are running this business with the expectation that the world will spring back in the back half of 2020, and we want to be well placed for that when it happens.  So to summarize, where are we? 2019, a very strong year, puts the business in very good shape for 2020. Our strategy of market specialization remains our driving focus. We had a very strong cash performance in 2020, which is serving us well. We've secured a robust position on the balance sheet, and we have got a very tight response program in relation to the COVID-19 circumstance as we see it today, and we are managing that on the assumption that our primary obligation is to secure the long-term value of the brands and the franchises we own and operate, and that's what has driven our approach to large-scale first half to second half postponement and rescheduling. And on that note, I will pass over to Gareth. Gareth?
Gareth Wright: Tackled by my chair. Hold on. Good morning, everyone, and thank you for coming to our 2019 full year results announcement. The headlines are we've produced a set of results in 2019 that demonstrated further year-on-year improvement in terms of the financial performance of the group and have delivered our financial targets for the year. Entering 2020, we're tackling the challenges thrown our way earlier in the year in a proactive and responsible way.  So these are the financial highlights from the 2019 full year results. Reported revenue was up 22%, increasing to almost £2.9 billion. Underlying revenue growth increased to 3.5%, reflecting a full year of growth from the UBM business acquired halfway through 2019. Adjusted operating profit increased 27.5% to £933 million, and this increase in OP drove a 4.3% improvement in the adjusted diluted earnings per share on a reported basis and a 16% increase on a pro forma basis for a full year of UBM ownership.  Free cash flow growth was powerful, increasing over 40% to £722 million. And this cash flow completed the process of bringing our leverage back down to our group target range with year-end leverage at 2.5x. In response to the pro forma earnings growth and the strong free cash flow, the Board is recommending a 7.3% increase in the full year dividend. So looking at the income statement below operating profit, the interest charge is £112 million, which included a £13 million charge for the effect of IFRS 16. Additionally, the year-on-year increase was driven by higher debt following the UBM combination and the stronger U.S. dollar in 2019. The effective tax rate increased to 19%, primarily reflecting a full year of UBM profits, but also the increase in the average jurisdictional tax rates in the U.S. and China. As we've previously communicated, the medium-term outlook for the enlarged group tax rate was a 19% effective rate, so we were in line with that rate in 2019. And we can confirm that that's where we expect to be in 2020.  So overall, these results produced a 4% increase in reported EPS and a 16% increase on a pro forma basis. And finally, the 51p of earnings covered the full year proposed dividend around 2.2x.  So focusing on the revenue growth. The largest element of the revenue growth was delivered by our successful combination with UBM, which added around about 15% to our reported revenue. The most important element for us, though, was the 3.5% of underlying revenue growth through trading and growth in the divisions, which I'll go through in a minute. The currency benefit of the stronger U.S. dollar added about 3% reported revenue growth. And the affecting -- the effect of biennials in the year was immaterial, which -- increasing the reported revenue by 0.2%. So all of this added up to an increase in reported revenue of 22% for the year.  The shape of the waterfall graph for adjusted OP is consistent with that of our revenue, although the OP growth increased benefits from the crystallization of synergies from the combination, and the benefit of currency is more marked in this -- in the OP chart with the weighting of operating profit towards the U.S. dollar.  Just focus on how the group results break down by division. Informa Markets delivered underlying revenue growth of 4.3%, which is a good result that occurred despite 2 market-specific in-year headwinds in Dubai and in Hong Kong. This performance was driven by a strong performance from the top 30 exhibitions, which in Markets in 2019, made up around about half of the revenue. And that revenue growth and the synergies helped increase operating profit by over 7%.  Informa Connect improved its underlying revenue growth of 2.9%, led by stronger performances from the larger biotech, pharma and finance events. Reported revenue was impacted by the disposal of the Life Sciences business at the start of 2019. Informa Tech achieved its 2% underlying revenue growth target in its full year of existence. And the priority for this team, really, in the year was to establish the team, the business and the brand, and to achieve all that while hitting the underlying revenue growth target was satisfying.  Informa Intelligence continues its trend in recent years of improving underlying revenue growth, delivering 3.3% growth in 2019. This improvement reflects the benefits of the investment in products and platforms and the revenue streams, particularly in pharma, retail banking and maritime. OP increased just over 11% as the revenue dropped through very cleanly and it was assisted by cost savings.  Finally, Taylor & Francis delivered a consistent underlying performance overall, delivering 2.4% revenue growth. The growth is weighted towards journals in the year with a steady year-on-year trading performance in the books business. So looking at the evolution of the operating profit margin, the group finished 2019 delivering an attractive margin north of 32%. The inclusion of a full year of the UBM business trading at a slightly lower margin acted as a circa 1% drag on the overall margin of the business. The increase of the year-on-year margin was driven by 2 specific dynamics. The FX benefit arises principally from the stronger U.S. dollar, which benefits our U.S. operations in Informa Markets and Taylor & Francis, and the growth in synergies delivered have increased the margin year-on-year, slightly offset by some investments in the group to upgrade our technology platforms and our digital capabilities.  Strong free cash flow has been one of the real successes of 2019, increasing over 40% to £722 million of free cash flow in the year. Most significantly, this reflects the growth in EBIT year-on-year, which is driven by the extra 5.5 months of trading of UBM in 2019, but also includes a stronger year-on-year working capital performance driven by a better contribution from the UBM portfolio, which did not benefit from the timing of the completion date in 2018.  The interest line includes one-off fees payable in prepaying certain USPP debt in 2019 and also that extra £13 million payable in relation to IFRS 16. Finally, we paid a bit more tax in 2019, as you'd expect, from the larger business following the UBM combination. So building off that strong 2019 free cash flow result, I thought it'd be worth outlining some of the characteristics of the business that produced those strong free cash flows. Advanced bookings of subscriptions and events and paid for in advance -- are paid for in advance and leave us with over £500 million of cash held in the balance sheet at any one time.  We have flexibility around our payments. We're able to roll forward bookings for future events based on our terms and conditions, if we reschedule them. And we're able to manage the payments to our suppliers over our payment periods. Our business is not capital hungry, with 2019 running under 2% of revenue for CapEx. Whilst this was an unusually low percentage compared to recent years, it doesn't damage the business operating to a low capital intensity for short periods. Our costs are split evenly between direct costs and indirect costs, leaving us lots to go for operationally should we reduce the volume of operations that the business is trading through and should we want to take a more aggressive stance on costs.  And finally, our cash management and working capital management have been strong for a few years and allow us to keep tight control on these areas and increase control in periods where we need to. So all these characteristics result in robust operating cash conversion, which for 2019 was over 100%, and it drove that strong free cash flow generation. So as Stephen mentioned earlier, when we've moved fast to implement the postpone program to move events from the first half to the second half of 2019. In addition to our base-case planning, we're also running multiple downside scenarios to plan how I think what -- the business is going to respond to emerging situations, should they change. These scenarios are important to us. They're important to me because they help me assess at what stage we need to take actions and decisions on our cost base and also informs how decisively we need to move at any point in time.  As Stephen says, we want to be ready to trade strongly out of the downturn. And to do that, we need to make sure we only remove capacity that we absolutely must and when we absolutely must have to. So this slide talks you through 2 scenarios that we've assessed. In Scenario 1, on the left-hand side, we're assuming that no further events operate in the first half of 2020 after the circa £260 million of revenue that we've already delivered in January and February. In this scenario, we'd look to avoid the direct costs relating to those events that we'd not be operating, and we'd look to take specific targeted action in our indirect cost base. These mitigations would see us finish the first half of the year with material liquidity and the leverage covenant delivered under our control.  In Scenario two, which looks at a scenario whereby you -- after the £270 million worth of revenue in January and February, no further large events operate in the rest of 2020. Now we think this is highly unlikely, given that we're starting to see signs of activity returning in China. But we're modeling it nonetheless, so that we're prepared for this scenario. In this scenario, we would again look to avoid the costs, the direct costs related to operating events and we would take a more proactive pieces of action and action plan in terms of our direct cost base and our indirect cost base. These mitigations would see us finish 2020 with material liquidity. But after 10 months with no large events, it's unsurprising that we may need to manage up, i.e., through our year-end covenant position.  As you'll have seen today in 2020, we've put in place an additional surplus credit facility for £750 million, which provides optionality to help us manage our way through a scenario like Scenario 2. The key thing is that we're constantly tracking developments through the COVID management committee meeting that Stephen mentioned, and that's enabling us to consider, on a real-time basis, further management measures should they be required.  Looking at the maturity of our borrowings. We're now in a position where we have no maturities until 2022 and no material drawn maturities until 2023. Our strong free cash flow has steadily and consistently reduced covenant leverage from 3.1x of the 2018 half year following the UBM completion to 2.5x at the 2019 year end.  Most recently, we've moved proactively and quickly to secure a £750 million committed surplus credit facility with a term of up to 2.5 years. Together with our existing £900 million RCF, which is only around 25% drawn with about £700 million headroom at the moment, this gives us material committed undrawn facilities as we enter a period of potential uncertainty. The headline message on synergies is we remain on track to achieve the targets we set ourselves and that we've outlined to you previously. And that's both on track in terms of the savings we're looking to achieve and also in terms of the costs of achieving those savings. This includes the delivery of £50 million of OP savings generated in 2019, principally from 2 main areas of duplication, the Informal Markets division and the cost of operating corporate and support functions, which benefit all the divisions through lower cost allocations. The UBM integration costs in 2019 were just over £40 million, which together with the £40 million we incurred in 2019, means we've invested around about 80% of the total budget that we had earmarked for the integration process.  So wrapping up and going into 2020, our subscription businesses are performing well with over 35% of group revenue generated from forward-booked subscriptions. We're planning for a period of short-term volatility in the events-related growth in the business. But we have, through the postponement program, a plan in place to work our way through that in 2020. We're taking proactive cost measures in the business to set ourselves up for future scenarios, and the synergies that we earmarked out of the UBM combination are secure. Finally, our strong cash flow model and our good time lines to maturity, together with the strong liquidity, give us real balance sheet strength going into 2020.  And with that, I'll hand you back to Stephen.
Stephen Carter: Thanks, Gareth. All right. If you can bear with me just for a couple of seconds before we get into questions. Thought I might just step out of the day-to-day and talk a little bit about the business. So where are we as a company going into 2020? If, as I say, if we weren't dealing with the immediate, we'd be focused on the future of the business. And really, this is what we've been seeking to build, business with more international reach. And you'll remember, we used to be really, a very kind of U.K.-, European-focused business. We're now actually almost the complete opposite of that with depth in specialist markets where we see future growth; consistent underlying growth, 3.5%, we set ourselves that kind of target to get into the 4%-plus club; very predictable and growing cash flows. We wanted to maintain and engage an inclusive culture where people felt a sense of ownership for what they did and how they did it and freedom to be able to do it. We like the business model of our business, where, as Gareth says, you have forward visibilities on your recurring revenues but actually also your exhibition revenues. We believe profoundly in the long-term value of face-to-face. I'm sure someone's going to ask me the existential question, is the whole world going to change and never want to meet anyone ever again? I don't believe that's going to come to pass. I think human beings are fundamentally social animals. Business gets conducted face-to-face. And in the trade show product, you have a perfect vehicle for doing that efficiently and in a highly sustainable manner.  But we needed to become a digital business, and we were a long way from that. And we've put a lot of time, money and effort into building our digital capabilities, whether they be API service delivery for our subscription businesses, Salesforce platform deployment or simple better master data management or accounting operating systems.  The world has gone specialist. It's our theme inside our own company now. Our business is to champion specialists. We are members of multiple industries and multiple communities. And that lack of a single point of weakness serves us well in the upside, and it actually serves us very well in the downside because you very rarely get a universal problem everywhere at the same time. And we have very specialist brands as a consequence. They're not household names, apart from in the households in which they belong. And when they're in those households, they really are household names. That's the company that we've been building and that we are committed to continuing to build for the next 3 to 5 years.  To look at 2019, on any measure, we feel very good about what we did in 2019. We said we would create a single company, what we call the AIP operating model, that we would in this fine building, which was chosen by our predecessors, but thank you very much for it. And we've purposely gone out of our way to say goodbye to UBM as a brand, not because it was a bad brand, but because it wasn't our brand. It wasn't where we were going in the future.  We have pivoted the company around the divisional brands, Informa Markets; Informa Connect; Informa Intelligence; Informa Tech, our newest brand; and invested in the rebirthing of the Taylor & Francis brand, which if Annie were here, she would talk about with more passion. We have built a leadership and talent community, which I believe gives us real bench strength and at times like this, you need it, you feel it, and you're glad you've got it. We delivered and overdelivered on our operating synergies in year 1 and year 2, and we're on track for year 3.  We made the decision that was, frankly at least 3 or 4 years overdue, to invest in the Fashion portfolio. Everyone said the problem with the Fashion business was that the end market was changing. Well, that possibly was true. But end markets change in all of our businesses. The problem with the Fashion business was it wasn't a very well-run business. So we invested to run that business with better brands, better locations, better contracts, better products, better services and a team that had the ability to be able to invest in their customers, and that is producing results.  We made some decisions, at times quite tough decisions, to say goodbye to businesses we liked but we knew we were never going to be long-term owners of, such as our agriculture intelligence business, outstanding business. But that's allowed us to double down in markets where we see long-term growth.  And we've invested a lot in our own culture, our own sense of ourselves and our own brand. And that gives us the Informa Group as you look at it today. The last time I was on this platform, actually, we were launching this brand, Omdia. In our tech business, we've taken all of the research, data and consulting businesses, Ovum, IHS Markit, Light Reading, Heavy Reading, Tractica, and we've rebranded them and we've pulled them together from a product point of view, a pricing point of view and a go-to-market point of view to produce a proposition for the tech community in 6 subsectors in the technology industry to provide a competitive, largely digital product service offer. And the early signs are that, that is going extremely well.  We continue to develop either through relationships and joint ventures, such as in Beauty with BolognaFiere; in Tech, in a joint venture, such as with Founders Forum; or through acquisition in Open Research with F1000, and to strengthen and extend our capabilities in the submarkets where we see future growth. And when we're out of the sharp point of the COVID-19 response, we will return to that as our going-forward strategy.  But before I finish, I wanted to finish with a subject that would have been a larger part of today's discussion and is probably the largest part of tomorrow's discussion, which is our approach to sustainability. Ben, who is here, and his colleagues in the sustainability team, which he has led and we have built over the last 4 or 5 years, have been working for some time on developing a proposition for our colleagues and for our customers and our end markets, where we can set out a target to be fully carbon neutral by 2025 and net carbon zero by 2030 or earlier. That speaks to what we do with waste. That speaks to what we do with travel. That speaks to what we do with energy. That speaks to what we do with our products and how we deliver sustainability content to the markets that we serve and deliver. This program, FasterForward, we are deploying across all of our businesses. There's been months of work that have gone into turning this into an auditable and documented program and approach to putting us in a place whereby we have a confident position on our economic and environmental footprint as a business. And we'll happily take more questions on this in the Q&A.  I'll finish where I started. Here's the summary. And I'll now throw it open to questions. We'll start in the front.
Q - William Packer: It's Will Packer from Exane BNP Paribas. Three questions from me, please. You outlined a postponement scenario in the release, around £400 million of Events revenue postponed to later in the year. If that scenario comes to pass where shows restart in June, what kind of revenue and EBIT hit do you expect to your Events business? That's question one.  Secondly, could you talk us through the cash dynamics on postponement? My understanding is that you hold on to the cash as long as the show takes place. Do you have to pay the venues? Could you just talk us through what happens there?  And then, finally, you talked about China showing evidence of being up and running. Certainly, speaking to top people in the industry, they feel confident that by June, things should start to re-emerge. Could you just talk through the specifics there? Do you think that if the rest of the world is still struggling with the virus, that the Chinese government would be willing for trade shows to restart in June? Is that realistic?
Stephen Carter: Well, thanks, Will. Three very good questions. And I'll cut into maybe all 3 of them. But Gareth, you might want to come in and give a broader picture on how we're approaching the cash dynamic question because I think that's a question that a number of people will have.  Just to be clear, definitely not offering you an opinion on the Chinese government. But to talk about China. The -- what are we seeing in China in our business? Well, we're seeing what I'm sure you're picking up elsewhere. We moved early to close, and we went for an extended close. I think we're in 8 or 9 locations, physical locations in China. We closed all of them for an extended period. That -- and I have to say, and I genuinely want to put on record that our colleagues in China have been absolutely outstanding through this process in speed of response, flexibility, impact and effectiveness of remote working and the way in which they've managed customers. We were blessed, as I said, that we didn't have so many shows in the early part of January. So that gave us some breathing time to work fast and quick.  The good news about the China market, as you know well, is there's quite a lot of capacity coming on. So actually, I wouldn't say it was the work of a moment to secure replacement capacity. But by and large, in Mainland China, we've had no example of not being able to find a replacement capacity slot.  What are we seeing? All of our offices are now open. Everyone is now physically back at work, unless they are remote working for practical reasons. There is no province that I'm aware of, as of pretty much very early this morning, where venues are yet open. But the level of grade -- of security grading is coming down progressively in various locations. And we, like others, are planning on a June return, possibly an end May return in some locations. The big swing vote, as I'm sure you also know, is what happens to the Canton Fair. Sadly, the Canton Fair is not one of our brands, but it is a huge commercial trading event in China. And there's a bit of a debate about when that will come back. Will it be as planned, which is the end of April? Or will it be slightly later in May or early June? But there's confidence it will return.  To your point about what the volume will be, well, that speaks to the question about metaphorically, if you looked at the entirety of our shows, what percentage of the exhibitors are international, what percentage is domestic? That's not just the China question, that's an everywhere question. What percentage of our attendees are international, what percentage of our attendees are domestic or international? And the broad answer is it's a way higher percentage of exhibitors that are domestic. There's a higher percentage of visitors that are international.  On costs, we took a commercial decision early that we would pay to secure venue capacity on a going forward and worry about, not heedlessly, but we would worry about the cost of the venue capacity we've already paid. And that seems to be serving us well because there's evidence certainly in China of sensible, in our view, clearly, we're biased, but sensible venue cost waivers and -- being offered by locations. And so our judgment is actually when this comes out in the wash in China, I don't think that double costing will be anywhere near the earnings impact that we might have modeled in a worst-case scenario.  On the broader cash question, if we run the show, we run the show. In some specific shows, we've offered some targeted rebates, particularly for those communities who feel the cash pinch more and that speaks to my point about maintaining long-term relationship. But generally, actually, we haven't had a significant demand from customers to speak of or who have forward paid if we have secured an alternative venue and date. And that's part of the reason why we moved quite so fast on postponement.  We're not giving guidance on revenue and EBIT. The only revenue we know we're not going to have are the canceled shows. Everyone here can make their own judgment about whether a postponed dollar will appear at 100%. That's a judgment. It's not a fact today. It might appear at $0.80 on the dollar, which is a sort of consensus number I've seen out there. But actually, you might find that it appears at $1.10 because there's pent-up demand because people haven't been able to trade for 6 months, and that's very difficult to predict at this point. But we're not giving any guidance on that. And that's the way we're thinking about those few things. But on the more general cash question, do you want to outline our approach, Gareth?
Gareth Wright: Yes. I think in terms of the headline, as you know, from -- in the last couple of years, the working capital nature of the business is that we received cash in advance of operating the vendor or delivering the services. And therefore, in advance of paying out the money to the suppliers. And therefore, at any point in time, that model works in our favor. And therefore, it's -- the ball is in our court to manage the situation and work our way through it because we are on the right side of the working capital equation and everything is managed by us.  In terms of customers, just looking at that piece, we are -- we're looking to reschedule the events. But when we do that, we reschedule the event then we talk to the customer about the new event, what the format's going to be, what the date's going to be, where it's going to be, et cetera. And we look to see how they want to engage with that new show.  Generally, what we're finding is the engagement is positive. There is demand there. People want the shows to run, they just don't want them to run at exactly at the time it was scheduled to run originally. So generally, we're finding engagements positive and people are looking to reengage with the new shows.  And once we've discussed customer requirements then hopefully, we can get them to come on to the new show. We are looking very carefully at smaller customers or smaller suppliers to some of our industries to make sure we look off to them in appropriate ways. So they remember that when we come out the other side of the process.  And in terms of suppliers, this is where it helps being a large-scale operator and operating events regularly through a lot of these venues and with these contractors because we can have a more, I think, professional and long-term relationship discussion rather than a short-term reaction to any cash flow issues they're facing or dynamics that we're seeing in the business. So headline is, I think it's -- the working capital model is in our favor and therefore, enables us to manage it through the situation.
William Packer: Just to come back quickly on your comment around the drop through. So I think Hive, which is the old IT group, talked about a 7% revenue impact from cancellations flowing through to a 25%-ish profit impact. It would sound from your communication that, that would be too significant a read across your business.
Stephen Carter: I genuinely don't know, which is why we're not giving guidance. We're not giving guidance because we're trying to be unhelpful. We're not giving guidance because this situation is changing literally on a daily basis. I think the revenue to profit drop-through will be higher than one would expect normally. So the revenue cancellation to profit because there is some double costing, and that's a sensible business decision, although it's going to affect 2020 earnings to a degree because I think it's going to secure the long-term value of the franchises and the key value equation, the judgment we've made, is in the long-term value of the cash flows which doesn't mean that we're going to be casual about the cost impacts in 2020. But if you have to make a decision on the margin, we're making a decision in favor the long-term value of the cash flows.
Adrien de Saint Hilaire: Yes. It's Adrien from Bank of America, please. So I get that there's about £1.4 billion of events revenues, which have not been rescheduled yet. Can you talk a bit about the underlying growth rate that you expect for that part of the revenues? Is that the usual 4 to 5, I would probably expect not, but if you can give us a number, that'd be helpful.  Also second question on your presentation. I think you showed which revenues are being rescheduled in what parts of the world. And from that chart, it seems that most of the rescheduling is taking place actually outside of China. Perhaps you want to give us a split of the £400 million, how does that split between China and non-China?  And then, Stephen, you said you would expect things to reemerge maybe in June in China. Do you think that puts us -- or puts you in a position to give us a guidance at the July H1 numbers?
Stephen Carter: Again, good questions. Maybe take them in reverse order. And Gareth you might want to speak to the first one, if you could, on the -- that was a non-event revenue question, the first one, is that correct?
Adrien de Saint Hilaire: No, sorry. I meant the -- out of the -- you said 65% of revenues or events. But you said there is 400, which is rescheduled.
Stephen Carter: It is trade. What's happening to the rest of it? Is that your question?
Adrien de Saint Hilaire: Yes. So what's happening to the events that are not being rescheduled.
Stephen Carter: Okay. Yes. Okay, I'll touch on that, but Gareth, if you can pick that up at the end. On your -- yes, on guidance. Look, we are -- AGM is on June 12. And then the half year is whenever the half year is. I mean, I would suspect we would aim to try and give some more detailed guidance in June 12. I mean, I'm not over-fixating on a specific date. But my own personal view would be that by the end of May, early June, we'll have enough forward visibility as to whether the challenges in H1 are challenges in H2, if you see what I mean. So I think at that point would be sensible to take a view on forward guidance. If the challenges in H1 look like they're on a kind of glide path to manageable, then I think we'll get back to the sort of questions that you and Will and others are asking, which I understand, around, "So what's the in-year impact?" And what, if any, is the sort of traffic jam impact into '21.  If by the time we get to June 12, the circumstances that are facing us now look like they're continuing into Q3 or worse, to the end of H2, then we'll have enough visibility, I think, to be able to speak to that. So people are clear here today, and I think we've been clear to the market. Our planning assumption is that, that is what will happen, that there will be a spring back and that we have planned it to be a spring back from H2.  Slightly to one bit of your question about the events revenue that either hasn't traded, the £250 million or that hasn't been postponed and rescheduled, the 450. So the remainder, some of that we're still planning to trade and indeed is trading as we speak, because there are parts of the world where there are not control measures and actually, much of our product is highly localized.  So last week, we ran the Middle East Energy Show in Dubai. We have 2 shows running in São Paulo in Brazil next week. So it is not the case that there is no event activity everywhere in the world. I wouldn't want you to take that view.  But to your question about where the big chunks of movement have been, there have been some in Mainland China. But fortunately for us, not so many because we didn't have that much in the front half of the year. Really, the bigger chunks have been in specific locations in North America, which the single biggest was Natural Products Expo. And that was a tough one for us to call because Natural Products Expo is a hot -- the reason why it's such a highly valuable franchise is because it's a highly valuable product because it serves up for many thousands of exhibitors. And so that we were kind of caught between half the community who wanted us to run it and half the community who didn't. And so we ended up making a decision in the end, that in the best interest of the community, we would step out put a pop-up show in before summer and then do a fuller show in the east, in Philadelphia, in the autumn, and that's an area, to Gareth's point, where we have stood up a relief and rebate fund for the kind of smaller founder-innovator community in that market, because they're very important to the health of that market. That's what the big guys turn up to meet, and that's what really what drives the health of that show.  GDC, Game Developer, was another big North American share which we lifted and dropped. In Europe, we've had 3 big shows which we've lifted and dropped. So it hasn't just been China. You're right to spot that. But we have made these decisions on a case-by-case basis. We have no shows in Italy. So Italy is not directly an issue for us. It's indirectly an issue. And we self-evidently feel for the circumstances in Italy, not least because we have a very close and constructive partnership with BolognaFiere. Indeed, I was due to be Bologna this weekend for that reason. But it doesn't directly affect our portfolio. On the remainder of the non-event revenues, what's our forward assumption there?
Gareth Wright: Those are non-event revenues, I think.
Stephen Carter: Sorry, event revenues.
Gareth Wright: Yes, yes. So Adrien's question was around event revenues. Non-event revenues, as we said, are proceeding to plan. Journal subscription renewal is good. Professional contracts is good in Informa Intelligence. In terms of the event revenues on the balance, broadly, we think they have some trading to plan as we go through the year. But what we're doing at the moment is we're saying that we're going to reassess that when we get to the half year and give you sort of clearer guidance for the full year on that basis. But we do think some of those smaller outdoor, smaller gathering, private-type shows can continue to operate through Q2.
Stephen Carter: Thank you. I'm going to leave you to judge or just hand the microphone around as you see fit.
Patrick Wellington: Sorry. It's Patrick Wellington at Morgan Stanley. And 3 questions. The top 30 shows are 50% of revenues. So can you tell us how many of the top 30 shows have run? And where the others appear in terms of Q2, Q3, Q4?  Secondly, Stephen, you say you're working on the basis of things normalize at the end of June, but your phasing chart would suggest that in China at least, you've got more shows than you would normally have in June. So you're assuming that China turns around, what, at the end of May? Are you going to run China Beauty in mid-May? I mean, what are your assumptions? Are you going to run Hong Kong Jewelry in June?  And then thirdly, you talked a bit about the traffic jam effect. As this creeping barrage of cancellations and postponements happens, what can you do about rephasing shows in the early part of the second half, the late part of the second half? And what's the impact on '21? If you've held a show in October, which would normally be in March, what we do expect to happen in the following March? Is everybody going to turn up? Are people are going to have the desires sated by having turned up in October. What's the roll forward impact in '21.
Stephen Carter: Those are quite challenging questions. Let me see if I can give you some clarity. On the answer to your first, I'm going to throw that one to Richard. I don't have that data to hand. Of our top 50 shows, how many of those...
Richard Menzies-Gow: ….they're roughly spread even across the year. So if you go quarter-by-quarter, they worked pretty even through the year. Year-to-date, I think we've traded 7 of the top 30, which the quarter is 7 -- 7 in the quarter and we're basically on track what you'd expect. So it's the ones in Q2, those ones are the ones that are rescheduling back out into the second half of the year, 1 or 2 of them in the first quarter in China. But generally, we waited fairly steadily through the year, and we've operated the sort of number of them that you'd expect us to operate so far in the calendar.
Stephen Carter: On the specific question on CB, I hope you'll forgive me, Patrick, and others will. I understand the desire for specifics, but there's a limit to how far we will go because a, it's commercially-sensitive and we're trying to manage in real-time in the community. We are making some assumptions but what I would say is rest assured that we've also got backup plans if those assumptions don't come to pass.  But to your specific question around China in June, you're correct. In order for China, as a generic, and it won't be a generic, it will be province by province, location by location, to trade in June for us, it would probably mean by April or early May, we would -- the relevant level of control would have to have come down to a point whereby the venues were officially open and markets were ready to come back. We would have enough advance notice of that, that if we needed to go to our plan B for any of the brands that are currently scheduled for June, we could do that.
Patrick Wellington: Traffic jam effect [indiscernible].
Stephen Carter: I genuinely don't know is the answer to a very legitimate forward modeling question or commercial question. I think based on what we would judge today, because we do know which of the 45 larger brands that we've lifted and moved. If someone flicks a switch tomorrow and this was all over, do I think we would see a significant deleterious effect in 2021 because of the shift in 2020? No, I don't believe we would, actually.  I think if it extends beyond the half year into the second half, then I think that traffic jam effect begins to build up a bit more and then we'd have to make a different judgment about what it means for 2021.  The good news about our calendar is it's either relatively light in the first quarter of 2021. Or actually, they've already run. So it really, for us, would become an issue by the time you get to the Q2 of 2021, if you see what I mean. So I think we have a little bit more flex than the natural calendar would suggest.
Katherine Tait: Katherine Tait from Goldman Sachs. A couple of questions for me. I think at your Investor Day last year, you very helpfully put up a sort of pie chart that showed the exposure within the Informal Markets division to different end markets. Just given what's been happening with the oil price, I wonder if you could kind of give us a fresh number on, particularly exposure to aviation and transport and any other sort of end markets that, I guess, you imagine could be impacted by that?  Secondly, you talked about more space constraint coming on in China and how that's enabled you to sort of fill those postponements. Can you give us a sense for the rest of the world as well, particularly the U.S. and North America is a big market for you, what's the sort of space constraints there?  And then, finally, on the sort of forward bookings for back-end of '20 and into '21. Are you seeing any impact so far to those sort of forward bookings? Or are people sort of generally accepting that this is -- this will pass?
Stephen Carter: Great questions. Let's start with the last one because it's a good answer. Forward pacing is tracking well, right? So actually, the forward indicators -- I mean, pacing is not revenue, but it's an indicator. Forward pacing is tracking well. So the buy side of the market isn't looking at what's happening and thinking, "This isn't a product or a service that I'm interested on a go-forward basis." Which doesn't mean that there aren't specific in spot issues. But to that very specific question, actually good.  To your capacity question, we're relatively well placed. There are pinch points of capacity in some locations. But in most of the locations where there are pinch points of capacity, we are the single-largest commercial buyer. And Gareth, I think, spoke to that earlier, and that has served us well. So being early and being scale is advantageous.  In China in particular, there's quite a lot of capacity. And so that is relatively helpful. And some of this is involving us making some decisions about moving some of our own shows to accommodate other shows. And so the larger portfolio also happens to help you there.  And actually, broadly, on the end market exposure, I'm certainly feeling good about the decision not to get big in energy, and that's not an end market for us. We do have an aviation business. We've got a -- in round numbers, a $100 million aviation business in -- which essentially comes in 3 parts. It's a data business, it's an events business, and it's a media information business.  Actually, the events business is largely focused at the secondary market, and that's holding up actually quite well for maybe the same reasons as the primary market isn't. The media business is feeling a little bit of softness, and the data and kind of the information business actually reasonably steady.  So in the round, we're feeling a bit of a pinch in aviation, but not material or worrisome. And we don't really have any other end markets where we're feeling it. In fact, our single biggest end market as a company in advanced learning, in business information and in events is pharma and health care. And right now, it's tracking well.
Adam Berlin: It's Adam Berlin from UBS. Just two questions for me, please. The first is can you talk a little bit about what's happening in North America in terms of are there any cities where there's bans in place? What are you hearing from the U.S. government about whether things could happen and are events generally running and the majority of events happening because North America, obviously, is your biggest market for events. And the second question was in your scenario 2, Gareth, where you talked about £275 million of indirect cost savings. Could you explain a little bit about what that would come from? And are you going to do that because you need to meet covenant obligations or just to kind of preserve short-term numbers? Why would you react to a one-off event by cutting costs so dramatically?
Stephen Carter: Don't worry. We'll restrain his worst instincts. I'll leave you to take the second question. On the first one, in the U.S., I mean, the same is true everywhere in the world. We are approaching our approach through the guidance from the relevant authorities in location. And in North America or in the United States of America, that varies. Sometimes, that could be a state government. Sometimes, that can be a city government. And sometimes, that could be the federal government. And it really varies.  And so there are, in some locations -- so let's take -- I think, the first one in the U.S. out of the trups, Orange County. There was a state of emergency declared in Orange County. But there are other locations where there have been a different set of responses. We have made a very conscious decision not to try to put ourselves between what the authority guidance is and our own view of it. And by and large, our customers have welcomed that. We have, as a standard operating measure, put in place a whole range of services at events generally on hygiene, on screening, on deep clean, on briefing and on -- and when we have got attendees and exhibitors from control locations we have put in place, we would rather you didn't attend or don't participate measures, if that has been deemed appropriate. So that's the way we've stepped through it.  To date, that is serving the communities we serve well, and we'll continue to work on that basis. Obviously, the latest example is Italy, where there's been a unitary decision for the entire country. But we will see how that plays out more broadly.  I'll let Gareth speak to the chart he presented. But I think the point that I would leave you with is, at the moment, we are, I think, doing the -- exactly what you are speaking to, which is the decision we're making is to preserve the long-term value of the business, and we're doing that based on an assumption that some version of normal service will return in the second half of the year, and normal service is currently happening in our subscription and information businesses, and normal service is currently happening in many geographies around the world. But the scale of the postponement program is such that if that continued through to June or July, we might have to scenario plan for a different outcome and I think that's what Gareth was talking to.
Gareth Wright: Yes. I think that's what it is. I think we would agree with the sort of tone of your question, which is, "Why would you take strong action and decisive action right now based on what you know now?" Because we want to trade strongly out of this downturn and what we perceive to be a period of time issue rather than something that is sustained and will be long term.  So we are absolutely taking the approach to be ready to move decisively if we need to, but not looking to take the capacity out unless we absolutely have to and only when we have to.  So to get to the essence of scenario 2, what you've got to believe and assume is there going to be no events for the rest of the year, so for effectively 10 months of the year. And I think based on the global view and general view, that appears unlikely as a scenario. But it's not saying it's a scenario we shouldn't plan for. And that's why we're doing the work to make sure we understand how we're going to react in that situation.  And in that situation, what we're looking to do is look at the volume-related indirect costs. So -- and I know indirect sounds like it's fixed but actually, there's quite a lot in there. It is volume-related in terms of the back office in structures and how you actually operate the business. And we look to take short-term cost measures that were appropriate in terms of the length and appropriate in terms of the depth of the downturn as it played out.  But we don't feel we have to make that decision at this point in time, and we feel there are opportunities and actions that we can take as we go through the year should the scenario evolve that -- looks like it's heading down that road. So I think, overall, we feel in control, and we feel comfortable about how we're going to manage that situation, should it evolve that way.
Adam Berlin: Just to clarify, what's the reason in the bad scenario, you have to cut cost by that much? Is that because you want to preserve short-term earnings or because you're worried about covenants and other issues?
Gareth Wright: I think it's a variety, I think, a variety of issues. I think in that sort of situation, as you'd expect, management to take action and to do something around the cost base. But then you'd expect us just to have -- if you take scenario 2 and believe it, I don't think you expect us to go for 10 months without operating an event and not do anything on cost. I think that would just be a slightly strange management action to take. But we want to be appropriate, and we want to take the right decisions at the right time.
Nicholas Dempsey: It's Nick from Barclays. Can you hear me? So first question. Just -- if we do have the more negative scenario and we get towards the end of 2020, and we're worrying about the covenants, to what extent is that conversation with your debt holders shaped by your bookings into 2021? So in the event that you were there in December and saying, "Hey, it looks like we might be just over 3.5x net debt EBITDA, but our bookings into '21 showed good growth." To what extent does that shape the conversation that you then have and the measures you'd have to put in place?  Second question, just on the biennial shows that are being bumped into 2021. Could they run again in 2022? Or are we talking about starting again with them as a biennial, so that we're bumping 2022 revenue into 2023?
Stephen Carter: Just the two?
Nicholas Dempsey: Just the two.
Stephen Carter: Fantastically economical. Possibly on biennial, it's a good question. I mean, as a general rule, with the biennial portfolio, which as you know, has enlarged a lot in our business over the last few years, we tend to take a view and do quite significant market and customer research to see whether or not there is value in that product coming to market more often. That would be -- generally, we would do that anyway at the end of any year. In a year like this, where we've, in effect, moved biennials up, then I think that would be particularly the case. So I think we would just take a judgment based on market appetite and customer interest.  Unless Gareth is going to disagree with me, which he's perfectly free to do so, I don't think we should get into answering your first question, Nick, not to personalize it to you. It's a hypothetical. We've laid it out for transparency's sake because I think it seems wise to do that. But our view at the moment is that we're running the business on the assumption that normal service returns in H2.  If some form of normal service doesn't return, which is a kind of an in extremis scenario, then I think we're a different situation, both as it relates to our cost and as it relates to our broader commercial circumstance, and we'll deal with it then. I'm not sure right now it's useful to play it out as a hypothetical scenario, but we've given you a sense of the levers that we've got to pull, if we need to.  And as it happens, I think you're 100% correct. I think the forward value of the forward bookings would be a key indicator of the long-term value of the business, which is why we're making the decisions right now that what really matters is the long-term value of the assets.
Thomas Singlehurst: Tom here from Citi. Just two questions. Actually, 1 backwards-looking, funny enough. For events, I guess, 4.5 minus ended up being 4.3. But specifically, the impact of Hong Kong in that. Is that -- firstly, can you quantify it?  And secondly, is that just not an issue in the near-term for you guys? Should we expect any hangover from that even on the second half shows, assuming everything is unaffected. And then very briefly on the cash. Obviously, the prepayments mean that the cash flow is secured for this year, presumably, regardless of what happens. Does this mean we'll just end up with a cash echo or cash at sort of into 2021 so that the profit squeeze hits this year and cash next?
Stephen Carter: Okay. I'll let Gareth take the second one. On the first one, we haven't broken out and probably wouldn't choose to. But if you look at our markets business, I think the combination of Hong Kong and the specific issues facing the real estate market in the Middle East, which we really felt acutely in our cityscape portfolio in Dubai. And then the remaining drag of fashion, which was considerably greater in '19 than it will be in '20, all else being equal, was probably worth, I don't know, 1.5% to 2% growth in that division.  I mean, that's a little bit earnings without the bad things, but they were very specific. As to whether or not the civil unrest issues in Hong Kong recur in 2020, well, they've been rather overtaken by events. And so it's very difficult to see that right now. And we'll have to take a judge on that as we step through the year. But we have not planned on that recurring in our normal planning process for 2020. Do you want to talk to the cash flow?
Gareth Wright: Yes. In terms of the cash dynamic, I mean, as you'd expect, sitting here at this stage of the year, it's quite difficult to make a definitive answer to whether the dynamics are going to fall, this side or the other side of the new -- end of the year. In our modeling, we're assuming that it falls, so the downside falls largely in 2020. So the working capital outflows occur in the year this year. But in terms of kind of end of year guidance and I mean being definitive about it, I think it's too early to call at this stage.
Matthew Walker: It's Matthew Walker from Crédit Suisse. First question is on the dividend. I'm guessing that under your basic scenario, the sort of 6%, 7% increase in the dividend for 2020 is held if things do kick off again in June? That's the first question.  Second question is on the famous Scenario 2. Isn't it a case -- I mean, your only covenants are actually in the U.S. private placement debt. That's about £1.2 billion. With your facilities, you could actually repay the U.S. private placement debt if you needed to.  And also, wouldn't you expect the bondholders to give you a waiver, if this is a sort of a one-off event that's not permanently impairing the business? Would you not expect the bondholders to give you a waiver anyway? So there are kind of 2 REITs to deal with that, one is you just repay it and the second thing is you get a waiver.
Stephen Carter: There's nothing I like better, Matthew, than someone who asked the question and then answers it.
Matthew Walker: I'm not the CEO yet, so I'll wait for you to answer it.
Stephen Carter: If things continue the way they are, Matthew, it's only a matter of time. On the dividend, I mean, what have we said about the dividend? We said it's a progressive dividend. So we haven't actually committed to a specific percentage increase. But I mean, our historical pattern, I think, has been consistent. All else being equal, it's obviously a decision for the Board. I can't imagine that a circumstance where we would change that. And you've -- we've laid out, I think, the information on your second question in a way that's allowing you to self-conclude how one might cut into that if you needed to. There's a question at the front here, and I think one at the back there.
Sarah Simon: Yes. Sarah Simon from Berenberg. Two questions. First one was just on Scenario 1. Just to be clear, when you talk about the savings in terms of direct costs, should we assume that all of those returns, the essentially deferred cost rather than absolute savings, whereas, presumably, the indirect costs are largely absolute? Can you just explain that a bit more?  And then if I can be controversial to talk about something other than events. If you look at Tech, tech is obviously a sector that we know of as a high-growth sector. It's actually your slowest growth division. Can you talk us through what the pluses and minuses are within tech? Because it's obviously a sort of microcosm or informer of events and data and so on. If you can just give us a bit of color on that.
Stephen Carter: Sure. Thanks for that second question. On your first, sort of yes is the short answer. I mean, the direct cost, effectively, if we don't run the event, then you just defer the cost to when we do. But I think to an earlier question, it would be safe to assume that we're providing no guidance, that there probably will be -- the margins might be slightly less rich this year than they would be in a normal year because we might have additional marketing costs, additional sales costs and possibly in some instances, not literally duplicate venue cost, I think that's highly unlikely, but there might be some incremental venue cost.  Having said that, we have been reassured already in our early discussions in probably 8 or 9 locations around the world of the degree to which locations have already worked out, that when normal service returns, then there is a material interest for the location in encouraging the world to return there. And one of the most efficient ways of doing that is promoting large-scale trade shows.  So I think we have a high degree of confidence, but do we have cash in the bank on that today? No. But we have a high degree of confidence that there will be funds made available, which we, I think, would have a legitimate call on. But that's the way I think about the direct costs. The indirect costs, well, they are indirect and therefore, more controllable immediately, and that's an area where we have made some early control measures just to keep pace with current circumstance.  Tech, what a great discussion. Let's talk about Tech. Essentially, our tech business is a thing of beauty, but it's a thing of -- it's a bit like the Taj Mahal, it's made up of lots of individual things that are beautiful, makes an even more beautiful thing in total. We've got an outstanding trade show portfolio in tech, particularly in some key markets where actually we're not facing up against large-scale vendor competitors. Because, as you know, in the trade show market in tech, many of the large-scale vendors run their own trade shows as kind of customer events, whether it's Salesforce's Dreamforce or Google's Zeitgeist or indeed trade associations like Mobile World Congress.  But in our security portfolio, Black Hat, and in our game developer portfolio, GDC, we really are the leading brands in those markets. And what we're doing there is beginning to build additional products and services around those trade show brands from our other capabilities, which we've put together in Tech. Omdia is a big engine for that, which is why we're interested in doing the swap for agribusiness intelligence for IHS Markit's capabilities so that we could build up our research, our data and our product consulting and project consulting capability in -- under the Omdia label.  Probably the toughest area of that business, which slightly speaks to why the overall aggregate growth rate is 2% rather than 4% or 6%, is the kind of complex portfolio, where there are some outstanding brands of scale, probably the showcase brand would be africa.com, which is definitely Africa's leading digital trade show brand, Broadband Wealth Forum, our 5G series, our AI summits, best-in-class. But it's a portfolio of 50, 60 brands, and that probably needs some further work on focus and pruning.  So what you'll see over the next 2 or 3 years is more investment in the research data product, more expansion behind the end markets where we see future growth, security, game development, AI, machine learning, 5G and a little bit of pruning in the historical conference and complex portfolio. That's the way we think about it. 
Stephen Carter: Any final questions? Fantastic. Thank you very much for coming. I really do appreciate it, particularly it's a busy time. I hope we've given you some color. I hope we've laid things out clearly in the release, and we're hanging around for a bit, so if people want to have one-on-one conversations, please feel free to do so. And in the meantime, travel well. Thank you very much.